Operator: Good afternoon. My name is Emma, and I will be your conference operator today. At this time, I’d like to welcome everyone to the Navitas Semiconductor First Quarter 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] Stephen Oliver, Investor Relations. You may begin your conference.
Stephen Oliver: Good afternoon, everyone. I’m Stephen Oliver, Vice President of Corporate Marketing and Investor Relations. Thank you for joining Navitas Semiconductor’s first quarter 2023 results conference call. I’m joined today by Gene Sheridan, our Chairman, President, CEO and Co-Founder; and Ron Shelton, our CFO and Treasurer. A replay of this webcast will be available on our website approximately 1-hour following this conference call, and the recorded webcast will be available for approximately 30 days following the call. Additional information related to our business is also posted on the Investor Relations section of our website. Our earnings release includes non-GAAP financial measures. Reconciliations of these non-GAAP financial measures with the most directly comparable GAAP measures are included in our first quarter earnings release and also posted on our website in the Investor Relations section. In this conference call, we will make forward-looking statements about future events or about the future financial performance of Navitas, including acquisitions. You can identify these statements by words like we expect or we believe or similar terms. We wish to caution you that such forward-looking statements are subject to risks and uncertainties that could cause actual events or results to differ materially from expectations expressed in our forward-looking statements. Important factors that can affect Navitas business, including factors that could cause actual results to differ from our forward-looking statements are described in our earnings release. Please also refer to the Risk Factors section in our most recent 10-K and 10-Qs. Our estimates or other forward-looking statements may change, and Navitas assumes no obligation to update forward-looking statements to reflect actual results, changed assumptions or other events that may occur except as required by law. And now, over to Gene Sheridan, CEO.
Gene Sheridan: Thanks, Steve. I’m very pleased with our Q1 results, as we exceeded our guidance for all financial metrics and experienced solid growth in key markets including electric vehicle, solar, energy storage and appliance industrial with a market recovery started in our mobile business. In the past 12 months, we completed 3 strategic transactions. All 3 are progressing and integrating very well. With VDDTech, we will be sampling our GaN and silicon carbide optimized high frequency digital isolators by the end of this year, with revenues to ramp late next year adding up to $4 per system when combining with GaN and silicon carbide in electric vehicle, solar, energy storage and appliance industrial applications. With Elevation, we have just launched our next generation platform called GaNSense Control and, in total, we already have over 50 customer projects in development and have shipped accumulative 1 million units into mobile and consumer customers. The GaNSense Control family will be expanding to address appliance industrial customers as well as data center customers over time. GeneSiC is our largest acquisition to date and positions Navitas as the only next-generation pure-play power semiconductor company. I’m excited to announce that nearly the entire GeneSiC team is relocating to our new headquarters in Southern California and is integrated very nicely across all key functions in the company, especially taking advantage of the Navitas global sales, FAE and system design centers driving over 100 new opportunities since the acquisition across all of our target markets. Let me now update on our product and business development progress in each of our key markets. In electric vehicle, which includes onboard charging, DC to DC converters, traction control and fast roadside chargers. Across both GaN and silicon carbide, we have strong momentum in shipments, backlogs and pipeline with over 25 customer projects either shipping with silicon carbide or in development with GaN and silicon carbide, and a total revenue pipeline of over $300 million. In particular, our prior announcement for our joint system design center with Geely, the 5th largest EV supplier globally last year, has already delivered exciting results with our new silicon carbide onboard charging design that will generate an additional $15 million to $20 million in revenue next year. We are still on track for GaN based EVs in production in 2025. Our EV system design center now has 5 system designs in development, working closely with our top EV customers, utilizing a combination of GaN and silicon carbide. In solar and energy storage, we have strong momentum in shipments, backlog and pipeline with over 35 customers in production or in development, and a total revenue pipeline of over $150 million. We have development projects with the majority of the top 10 solar players globally, with many shipping now with silicon carbide and GaN shipments into the solar market on track to ramp next year. In home appliance and industrial, we have over 45 customers in production or development and a revenue pipeline of over $150 million, fueled by strong government funding and regulations in U.S., Europe and other regions driving clean energy upgrades to homes and factories. Last week at PCIM, a major Power Electronics Trade Show in Europe, we introduced our first silicon carbide power module called the SiCPak. This strategic announcement is the first of many as Navitas enters the high power silicon carbide module market, which is a significant percentage of the entire silicon carbide market. The SiCPak will be a key package technology to expand our silicon carbide business in the industrial markets in the near-term. In data centers, we are well positioned to address the accelerating power requirements being driven by AI, IoT and data in general. We continue sampling our new high powered GaN ICs, which we launched to the market in Q4 and have increased our customer development projects to 15, representing a revenue pipeline of over $60 million. Our design center is developing 6 system designs that are supporting and accelerating these customer revenues, which are on track to ramp late this year and next. Also at PCIM last week, we announced our Gen-5 silicon carbide MPS diodes, which are a perfect fit for data center power supplies and a great complement to our new GaN ICs, adding appreciably to the total value and dollar content we expect to deliver to all of our data center customers. Finally, in our mobile business, we see the beginning of a market recovery with 20 new mobile chargers launched in Q1 and strong bookings going into Q2. These launches include the latest Xiaomi 13 Pro and Ultra flagship phone inbox designs and Lenovo’s ThinkBook biscuit laptop charger, which has an amazing profile of only 12.8 millimeters. In mobile, we have over 150 customer projects in development with a revenue pipeline of over $100 million. In summary, I’m very pleased with our progress across acquisitions, product launches, customer developments, and market expansion. We now see all target markets in solid growth mode, and our strategy to deliver leading edge GaN and silicon carbide with complementary silicon controllers and isolators is translating into significant customer value, market adoption and financial results. Now, let me turn it over to our CFO, Ron Shelton, to update on those financial results as well as our guidance.
Ron Shelton: Thank you, Gene. In my comments today, I’ll first take you through our first quarter results, then I’ll walk you through our outlook for the second quarter and the full year of 2023. Before I get into the results for the first quarter, I first want to step back and remind you of some of our commentary last quarter. As you might recall, we indicated that we could see revenue doubling in 2023 as compared to 2022. Our first quarter results are a great start to meeting that objective. Revenue in the first quarter of 2023 grew to $13.4 million, which was higher than our guidance. This represents 98% growth over the first quarter of 2022 and an 8% increase on a sequential basis. The beginning of the year is unfolding as we discussed last quarter. We’re seeing growth in silicon carbide products as we add capacity and expand our pipeline of opportunities. The mobile market seems to be bottoming and starting to recover in Q2. And, in general, our overall customer engagement and activity continues to expand. Before addressing expenses, I’d like to refer you to the GAAP to non-GAAP reconciliations in our press release issued earlier today. In the rest of my commentary, all costs and operating expense commentary will refer to non-GAAP costs and operating expenses. Non-GAAP gross margin in the first quarter was 41.1% as compared to 44.0% in the first quarter of 2022, an increase from 40.6% in the fourth quarter of 2022. In last quarter’s call, we discussed some of the drivers behind expanding gross margins for this year, among them transitioning to next generation products and gaining share in new, higher margin market segments. In the first quarter results represent the beginning of those efforts taking hold in our results. Total non-GAAP operating expenses were $17.8 million for the first quarter of 2023. Our non-GAAP SG&A expense was $7.6 million, and non-GAAP R&D was $10.2 million, slightly better than guidance as we continue to invest for growth in a disciplined manner. Putting all this together, the non-GAAP loss from operations was $12.3 million, compared to a loss from operations of $9.6 million in the first quarter of 2022. As we continue to invest simultaneously across new markets and focus on growth opportunities. Our weighted-average basic share count for the first quarter was 156.8 million shares. Turning to the balance sheet, it continues to remain very strong with high levels of liquidity. We’ve talked in the past about keeping a focus on working capital, and we’re making significant improvements in those areas. Cash and cash equivalents at quarter end were $100.8 million, and we carry no debt. Accounts receivable was $7.4 million, compared to $9.1 million in the prior quarter reflecting improved day sales outstanding. Inventory declined to $18.9 million, compared to $19.1 million in the prior quarter. As we continue to drive inventory levels to more closely align with our business going forward. Over time, we’re confident that our inventory levels will trend towards our long-term target for inventory turns of better than 3 times. Lastly, we continue to work on terms with our suppliers to better align payment terms with standard industry practice. Moving on to guidance. For the second quarter, we currently see revenues in the range of $16 million to $17 million. At the midpoint, this represents substantial year-over-year growth of approximately 90% over the $8.6 million we recorded in the second quarter of 2022 and a 24% sequential increase over the first quarter of 2023. Our guidance is based on robust strength in EV, solar, appliance/industrial, and the beginnings of a recovery in the mobile and consumer market, all further evidenced by a more than 50% increase in backlog during the quarter. As I mentioned earlier, we believe this translates to a doubling of revenue over 2022 that we discussed in last quarter’s call. Gross margins for the second quarter are expected to move slightly higher in the range of 25 to 50 basis points. We continue to expect that gross margins will expand over the next few quarters as we transition to next generation products and gain share in new higher margin market segments. For these reasons, as previously discussed in last quarter’s call, we expect our gross margins will continue to grow through the year and trend to the mid-40s as we exit 2023. In total, our non-GAAP operating expense in the second quarter are expected to be approximately $19 million, and this excludes stock based compensation, transaction expenses, and amortization of intangible assets. We will continue investing in growth, but expenses will decline as a percentage of revenue, as we scale throughout the year. With that in mind, we expect that expenses will increase at a rate of mid- to high-single-digits on a quarterly sequential basis. For the second quarter of 2023, we expect our weighted average basic share count to be approximately 162 million shares. In closing, we are extremely pleased with the results for the quarter, and we are excited about the significant opportunities in front of us, which are starting to show up in our results as noted in our second quarter and full year guide. As I’ve said before, we are the only pure-play next generation power semiconductor in the industry, and we intend to invest resources in our targeted end markets, products and technologies with the intent of becoming one of the fastest growing semiconductor companies in the world. We’re off to a great start. Operator, let’s begin the Q&A session.
Operator: [Operator Instructions] Your first question today comes from the line of Ross Seymore with Deutsche Bank. Your line is open.
Ross Seymore: Hi, guys, thanks for let me ask question. Congrats on the solid results. Just wanted to dig a little bit into how the demand is growing. You talked about the backlog going up 50% sequentially, so any surprises in the sources of that? And I think last quarter you talked about, generally speaking, what would rise or fall as a percentage of sales in the doubling for the fiscal year. Any updates to those numbers, please?
Gene Sheridan: Sure. Thanks, Ross, for your question. We see strength in each of the markets, as mentioned, and they’re all contributing to the growth in backlog. Certainly of note, the mobile recovery that we commented on was not showing up in Q1 revenue, but actually in that backlog growth, setting up good growth into Q2, but we see that growth also continuing in the other sectors. In terms of full year outlook, again, they’re all growing year-on-year, which is great, of course, and that’s across 5 different markets. In particular, I’d highlight EV and solar and energy storage probably the strongest growth of the bunch, but good growth across each of those.
Ross Seymore: Great. I guess for my follow-up, one for Ron. It seems like you’re on track again, just like on revenues, but on gross margin this time. Any updates as to how getting to the 45% or mid-40s exiting is perhaps changing with the backlog? Or is it all just pretty much on schedule there, too?
Ron Shelton: Thanks, Ross. No, it’s all on schedule. So, again, I think we’ve discussed it’ll increase sequentially each quarter, and that’s what we’re seeing, and so there’s really no changes. It’s kind of laying out like we thought it would.
Ross Seymore: Got you. Then, last quick one for me. Any changes in the cost side of the equation and supply in general? I know you guys have been somewhat supply limited on the silicon carbide side, and then some of your foundry partners have been raising prices. Any surprises or updates on those metrics? And then I’ll pass it on to the next customer.
Gene Sheridan: No change, Ross. To reiterate, we already signed that long-term agreement for a 500% increase on the silicon carbide slide with both material and suppliers and X-FAB that’s kicking in Q1 that includes stable, predictable cost reduction over time. And I think of the GaN side, we had mentioned the TSMC price increase of 6% late last year that kicked in Q1 that’s already factored in guidance that Ron talked about. So really no changes; and I think only decreasing costs over time are anticipated at this point.
Ross Seymore: Perfect. Thank you.
Operator: Your next question comes from the line of Kevin Cassidy with Rosenblatt Securities. Your line is open.
Kevin Cassidy: Yeah, thanks for taking my question and congratulations on great results. But maybe along those lines, can you say where the upside came from? Was it that you were able to get more silicon carbide than expected, why you came in above your guidance? Or was it a pull in? Or did you shift from inventory? Just a little feel of what happened in the quarter and maybe why – maybe we’re seeing more momentum going forward.
Gene Sheridan: Yeah, great question, Kevin. In Q1, each market feeling some strength, as I mentioned, the mobile recovery is mostly in the backlog feeding into Q2. But we are seeing the beginnings of our silicon carbide supply agreement kicking in a little bit in Q1, mostly in Q2 as well. And I think we see general strength in each of the markets actually, a lot of the design wins we talked about last year kicking in and contributing. And now we’ve got our entire sales force following [ph] the silicon carbon across multiple markets. All of this adding together to give us the confidence to reiterate the doubling this year, improving the guidance for Q2, and even sharing some of the sector pipeline opportunities that we see by market, by revenue across the coming years for growth.
Kevin Cassidy: Okay, great. And maybe just to help us out here, can you tell us your definition of the pipeline? I mean, those are all very impressive numbers. Is that from the life of the product of your customer’s product? Or is this like what you can see as far as the forecasts are coming from your customers?
Gene Sheridan: Yeah, it is a new important metric. We’re certainly very excited about the magnitude and the diversity of that to define it. It is the revenue potential for qualified new customer opportunities. So it doesn’t include ongoing production programs. They may be ramping themselves. That’s independent of it. Those are pre-qualified programs. So early scrubbing them to make sure the program is real. The fit is good for our technology. The value and value prop anticipated is solid for our customers. So we believe we’ve taken a pretty conservative view. And as you implied, it is lifetime revenue that can vary by market. We’ve been pretty conservative, I think, on our calculations or assumptions there as well on what that program lifetime duration might be.
Kevin Cassidy: Okay. Great. Thanks. Congratulations again.
Gene Sheridan: Yeah. Thanks, Kevin.
Operator: Your next question comes from the line of Tristan Gerra with Baird. Your line is open.
Tristan Gerra: Hi, good afternoon. As a follow-up to the last question, what percentage of that revenue pipeline you would expect will turn into actual revenue from the potential which defines the pipeline to what you think becomes an actual signed design win?
Gene Sheridan: Yeah. Thanks, Tristan. Yeah, we have – it’s a new metric, so that percentage conversion will be determined sort of over time. But as I emphasize, we’ve taken a pretty conservative view scrubbing to make sure these are really committed production programs. The fit to our technology is good. The value and interest in using the technology is good. Ultimately, the percentage that converts into actual revenue will depend, of course, on multiple factors. One is the final decision to use our technology, what share if it’s multi sourced. And ultimately, of course, the customers timing of project ramp and project volume. So it’s a little hard to predict that number. But we feel real good about the opportunity to capture an appreciable percentage of that $760 million, which is what it is when you total it across all the markets.
Tristan Gerra: Okay. And then looking at your backlog, what do you think based on that your market share in gallium nitride can be in consumer exiting this year? And maybe if you could give us some metrics as to your view of the production rate of gallium nitride based chargers in the smartphone market today? And also how much of that is actually bundled with OEM versus aftermarket?
Gene Sheridan: Yeah, Tristan, all good questions. While there’s not maybe perfect third-party market report, certainly from our view, we have established a clear technology and market leadership position in our target markets that today, of course, is the high voltage GaN market for mobile chargers and consumer adapters. So, I think, we’re in a strong position there and even probably continue to grow that market position that’ll of course expand. And we believe we’ll establish that technology market leadership position in the other markets in GaN as we go into the higher power markets, data center ramping later this year, solar next year, and EV in 2025. So, I think, all of those will contribute to a pretty strong position. Back to your other question on the mobile handset market, I still think we lost a bit of time in the last year with the slowdown, namely in China, but even more broadly in mobile. And we’re happy to see the recovery starting. But with that, I think we’re still kind of in the 1% to 2% adoption, if you look at the real total potential versus what we’re shipping in others. So that’s still a lot of revenue growth, a lot of adoption ahead of us going forward. And finally, I think you asked about inbox versus out of box, if you will, or aftermarket. That’s still pretty dynamic. It used to be that 70%, 80% easily of the opportunity was inbox, 20% to 30% aftermarket. I think that’s shifting, but even when it’s not in the box, it’s still going to be shipping by the major OEMs, even if it’s an optional purchase. So you’ll continue to see us, continue to focus big dollar opportunities on the major mobile players, whether they offer it as an optional accessory or shipping in the box sort of for free to the consumer. So I think that delineation will not matter as much. But it is pretty dynamic and shifting, and luckily we’re in a strong market position both with the aftermarket guys and tend to the top 10 of mobile players.
Tristan Gerra: Great. Thank you very much.
Gene Sheridan: Thank you, Tristan.
Operator: Your next question comes from the line of Quinn Bolton with Needham and Company. Your line is now open.
Quinn Bolton: Hey, guys, all have for my congratulations as well on the nice results and outlook. I guess, maybe, Gene just starting with the recovery in the mobile backlog sounds like it didn’t really contribute to revenue in Q1, but certainly will contribute in Q2. Does that backlog extend out now into the second half? Do you have better confidence that this mobile recovery has legs or do you think it was sort of short-term replenishment, but the second half outlook is still a little murky?
Gene Sheridan: Yeah. Good question, Quinn. Certainly it contributed to the run up in backlog in Q1, gives us really strong visibility in Q2 and even into Q3. So I would not say we have backlog visibility for the entire year, but that’s typical. We typically only have 3 to 6 months visibility in terms of backlog for mobile. We’ve got good forecasts coming in from the customers on top of that backlog, which gives us good confidence. But I would sort of summarize by saying we’re cautiously optimistic that that recovery continues in the second half of the year and we’ll kind of update you each quarter, of course.
Quinn Bolton: Great. And then on a Geely onboard charger that you talked about being $15 million to $20 million opportunity in 2024, can you discuss is that sort of one model of Geely car? Is it across multiple models? And does that business would you expect it to grow to a higher number in 2025, I mean, are we still in ramp? Or does that $15 million to $20 million sort of contemplate more of a steady state for that onboard charger and the model hitting steady state next year?
Gene Sheridan: Yeah, it’s one model. We’re certainly working on more, but this is a great start and a great win. The $15 million to $20 million is considered to be the run rate kind of average starting next year. It actually ramps this year, so the $15 million to $20 million is considered steady state next year and for outer years as well. And then, we are working on many more, as I said, which would likely add to that.
Quinn Bolton: Great. And then just lastly for me, you talked about the industrial and appliance market, the outlook being pretty strong there. I’m wondering is that more of an AC to DC application or is that starting to ramp some of the motor control applications as well.
Gene Sheridan: Yeah, good insightful question. And it’s both, certainly, I mentioned over 45 customer projects in production or development. Most of those are in development. Most of those are starting ramps next year, the high percentage are motor control that takes advantage of our latest generation GaNSense half-bridge. It’s our most advanced, highest performance, most integrated GaN IC we offer, and that’s a great fit. But our new family of GaNSense control, where we integrate the low voltage controller with the GaN chip, not only fits for mobile chargers and consumer adapters, it’s a perfect fit for the power supply applications, namely the auxiliary power supplies that power the LED display. That’s increasingly common in all of these home appliances. So it’s a nice combination of both, but the biggest majority is the motor control with that GaNSense half-bridge.
Quinn Bolton: Perfect. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Jon Tanwanteng from CJS Securities. Your line is open.
Ross Kesselman: Hi. This is Ross in for Jon. Quick question. Do you have any changes to when you expect to achieve positive cash flow?
Ron Shelton: No, we haven’t updated any of that. So, typically, what we’ve talked about in terms of operating breakeven, slate 2024, early 2025 in around $50 million a quarter in revenue. That’s roughly the timeframe that we’ve talked about. Now, having said that, I’ll add, as you’ve seen we’ve got $100 million of cash on the balance sheet, no debt. So the balance sheet is very strong and we feel really good about the cash position in terms of being able to fund the organic business to breakeven.
Ross Kesselman: Got it. And then my quick follow-up. Are any competitors closer to you now in discrete TaN [ph] or GaN or silicon products? Have you observed any stronger competition?
Gene Sheridan: Yeah, we really haven’t seen a change in the competitive landscape. So we feel good about where we’re at both in leading in GaN integrated circuits, but also leading in the silicon carbide MOSFETs with the best in circuit high temperature performance we’ve ever tested. We are extending looking to extend that lead. We just launched the generation four silicon carbide MPS diodes, which set some new performance benchmarks there. And we’re fast ramping generation-four and working on generation-five in the gallium nitride space. So no change to the landscape and feel pretty good about the technology position we have and look to grow it quite soon.
Ross Kesselman: Thanks for the additional color.
Gene Sheridan: You bet.
Operator: Your next question comes from the line of Natalia Winkler with Jefferies. Your line is open.
Natalia Winkler: Hi, thank you for taking my questions and congrats on the results. I wanted to follow-up on the data center market. Gene, would you mind maybe expanding a little bit more on the ramp that you guys are expecting at the end of this year? And also, how should we think about that market from the standpoint of pipeline and really kind of the number of years, I guess that pipeline would typically include?
Gene Sheridan: Yeah, definitely, Natalia. So that one’s unique in that we’re not already shipping silicon carbide into that one, nor are we shipping into again. So it’s the smallest in part just because we’re only in sampling mode, we will release to production our GaN IC for high power applications later this year. At that point, we’ll sort of step on the gas and open this up to even a broader set of customers. With all that said, that sampling has already led to more than 15 customers in development of the pipeline, over $60 million pipeline. I also think this pipeline is not really reflecting what’s going on in the market today around generative AI. I think, we’re just scratching the surface on the potential applications and market implications of that technology and the massive data consumption that’s going to go with it, which leads to a massive power consumption, which we’re going to see in coming quarters, I believe, certainly coming years, to create a big power problem, which is a big power opportunity for Navitas. So that’s a bit on the medium to long term. But coming back to your question, then, it’s early days because we’re in the sampling mode, as I said, we feel good about the number of customers that we’ve kind of carefully selected and cultivated in that $60 million pipeline. Again, we try to be always conservative on these program lifetimes. So there we’re assuming something like 2 or 3 years type of customer project duration.
Natalia Winkler: Understood. Thank you. That’s very helpful. And the second question I wanted to follow-up on that the Geely announcement. Just trying to figure out how it usually works for these types of automotive socket, is that type of a primary/secondary source arrangement? And then, I guess, would there be some exclusivity related to that arrangement? And just broadly, not necessarily even for Geely, but for any other potential sockets you guys will see like that going forward. What’s the best way for us to think about the penetration level within the OEM?
Gene Sheridan: Yeah, definitely in the silicon carbide space, of course, there’s many discrete players. So oftentimes you could look at a multi-sourced situation. In this case, that project happened very quickly in the last 6 or 9 months. In part, it’s happening quickly because they’re working directly with our EV design center and late last year we announced a joint design center with Geely. So we’re super excited that this is a great example of how that system design center, when focused and partnered with key EV players, can really accelerate their adoption and their engineering work to go faster, even in a generally longer development cycle market like EV. Not only that, they had started working with another supplier when they fully tested our parts in collaboration with our joint design center, Beverly [ph] demonstrated that better in-circuit high temperature performance that we often allude to. And with that validation and competitive, even premium pricing, it put us in 100% market share position. So this is a really nice case study, if you will about how fast we can accelerate things with our system design centers, but also how that technology performance and advantage can lead to a strong market share in this case 100%. So I don’t know if they’ll all go that well, but this is certainly a good example, and we look to repeat it many times over.
Natalia Winkler: Thank you.
Gene Sheridan: Thanks, Natalia.
Operator: Your next question comes from the line of Richard Shannon with Craig-Hallum. Your line is open.
Richard Shannon: Hi, guys. Thanks for taking my question as well. I’m going to ask a first question on gross margins, not only second quarter, but kind of the rest of the year here. Gross margin progression here in the second quarter is going up a little bit and it seems like it would be implicitly being accelerating a little bit in the back half of the year. Seems like if I caught and understand your comments correctly that mobile is maybe growing a little bit less here in the second quarter, it seems like gross margins would do better in that environment, but maybe it’s taking on some more costs from TSMC and others. So maybe help me understand kind of the mix and cost structure flow throughs that lead to the gross margin dynamics you’re talking about both in the second quarter and the second half?
Ron Shelton: Yeah. Hey, Richard, it’s Ron. So the way I think about margins again is we reiterated exiting the year in the mid-40s, so that hasn’t changed. I think there are a couple of drivers this year that drive margins to that point. One is just getting into kind of more diversification into other markets that are generally higher margin, right, so it could be EV, could be industrial and so on. But that’s one path. The second is, transitioning to next generation products. And so in the very near-term that would have a bigger effect and we’re seeing that happening now, and that’s what you see in Q2. And then that will be – that transition will have fully occurred as we exit Q2. And so you’ll see a little bit of a step up in Q3.
Richard Shannon: And Ron, that especially refers to GaN products, right?
Ron Shelton: The latter. Yeah.
Richard Shannon: Yeah. Okay. That is helpful. Maybe a follow on question for Gene in the mobile space here. Maybe you could talk about the sweet spot that you’re seeing in that market from a power perspective, where it’s been? Where it’s going? And then also maybe you can talk about just from a cost side, GaN versus silicon and when we might see that crossover point?
Gene Sheridan: Yeah, definitely, Richard. So we continue to see the same dynamics we talked about before. In general, the market wants faster charging. To do that, you’re pushing those power levels up and up and up more into the sweet spot of GaN in general, and certainly Navitas’ GaN ICs. In particular, we’re also seeing the trend of multi output chargers, gone are the days when you had one charger for your phone, one charger for your tablet, one charger for your laptop. That not only means more outputs, it means more power. And again feeding right back into the sweet spot of GaN, where the GaN value is relatively modest at 20 watts or maybe 30 watts, it grows significantly as you push up to 50, 60 watts, and even more so into this category we call ultra fast chargers at 100 watts and higher. And a high percentage of those 20 that were launched in Q1 and are driving a lot of the short-term backlog in growth and recovery are in that 65 watt end up or in 100 watt end up space. So hopefully that gives you a little bit more color about the trends. No changes there, but certainly we see that trend continuing and now accelerating as the market recovers.
Richard Shannon: Okay. Perfect. Thanks for that detail. That’s all for me. And congrats on the nice start of the year, guys.
Gene Sheridan: Thanks a lot, Richard.
Operator: There are no further questions at this time. And this concludes today’s conference call. Thank you for attending. You may now disconnect.